Operator: Please standby. Good day everyone and welcome to the CECO Environmental Corporation's Fourth Quarter and Full Year 2014 Earnings Conference Call. Just a reminder, today's call is being recorded. For opening remarks and introductions, I will turn the call over to Shawn Severson, with Blueshirt. Please go ahead, sir.
Shawn Severson: Thank you. Good morning, everyone. Thanks for joining us on CECO Environmental's conference call and webcast to discuss the financial results for the 3 months and 12 months ended December 31, 2014. I'd like to point out that we do have an earnings deck here in this presentation and it is available today. It can be accessed either directly through the link in the press release or on CECO’s website. And I encourage you to use that, as we move through the quarterly call today. On the call with me are Jeff Lang, CEO and President; and Ed Prajzner, Chief Financial Officer. Jeff and Ed will be reviewing the financial results and will also provide an update on the company's strategy and outlook. Please note that in addition to traditional reported GAAP earnings, we provide non-GAAP financial measures in the press release today to enable better assessment of the ongoing nature of CECO's core operations. Jeff Lang's comments will primarily focus on these non-GAAP financial measures, and Ed will address differences between GAAP and non-GAAP financial measures in his remarks. Following our prepared remarks, we will open the call for questions. This call is being webcast to be accessed at CECO's website at cecoenviro.com. The webcast will be posted on CECO's website for replay approximately two hours following the end of this call. The replay will stay on site for on-demand review over the next several months. Before we begin, I'd like to caution investors regarding forward-looking statements. Any statements made in today's presentation that are not based on historical fact are forward-looking statements. Such statements are based on certain estimates and expectations and are subject to a number of risks and uncertainties. Actual future results may vary materially from those expressed or implied by forward-looking statements. We encourage you to read the risks described in our SEC filings, including our annual report filed on Form 10-K for the year ended December 31, 2013. Except to the extent required by applicable securities laws, we undertake no obligation to update or publicly revise any of these forward-looking statements that we make here today, whether as a result of new information, future events or otherwise. Today's presentation will also include references to certain non-GAAP financial measures. We have reconciled the comparable GAAP and non-GAAP measures in today’s press release. And now I'd like to turn the call over to Jeff, to begin the discussion.
Jeffrey Lang: Thank you Shawn and good morning everybody. Thank you for joining the CECO Environmental earnings call for 2014. I am on page 5 please. Revenues for the quarter were 76 million, up 10% sequentially. Revenues for the year were roughly 263 million compared to 197 million in 2013, that was contributed by the acquisitions made during 2013 and 2014. Bookings were on par for the year. 63 million was our run rate for 2014 and little bit below our expectations as well. Year-to-date bookings for full year were 255 million, up 28% for the prior period. Essentially -- revenue and bookings were essentially flat and organic bookings were down for the year, slightly down. We picked up some nice backlog in 2014 which was positive but EPS was $0.94 for the year compared to $0.95 in 2013 that was contributable -- we missed our $1 EPS aspiration for the year pretty much due to light revenues in Q4. A little bit of mix shift in Q4 as well as with some large projects and some lower growth profit profile from some of the acquisitions in December -- November-December. Turning to page 6, gross margins fell in Q4. Strategically in Q3 we pulled out some large energy orders for large natural gas turbine businesses which really helped our energy business become a major player in the gas turbine power arena, and those businesses had a lower gross profit profile, and we are expecting some of that to take place in Q1 and Q2 of 2015 if that did, a lot of that did process through in November and December. These businesses had a big impact on Aarding and Effox in 2014. Pulling in some of those businesses enabled us strategically to become one of the key players in the natural gas turbine energy business so we are very pleased with that and our energy sector at a record bookings in 2014. At the same time the strategic acquisitions of Emtrol and Zhongli which we closed in Q4 carried a lower gross profit profile with the business and so that had impacted our numbers and as we go through 2015 we are going to be kind of reshaping our gross profit profile as those businesses become integrated in synergies extracted. We ended the year of pro forma around 48 million in EBITDA for 2014 which is up 41% from the previous year. 39 million of that was legacy businesses and 48 million in total pro forma. So we have a nice platform to build on for 2015. Turning to page 7, some of the highlights for 2014, very pleased with the management team. The business is running well. We had a little bit of slide in margin as we strategically and deliberately expected in Q4. We are positioned very well for scale and our leadership team to take on more and continue growing. The fluid handling business saw some very nice -- the food handling and filtration business saw some very nice margin expansion in 2014. That team did a very good job integrating our filtration businesses and expanding the margins nicely. Also our energy sector had a record bookings year and the air pollution control group finished strong in 2014. We did expect a little bit more from some of the air pollution control businesses but I was very pleased with how they finished up with revenue and booking in Q4. Fourthly, we continue to grow after market and reoccurring revenue portfolio and we keep expanding that. The acquisitions also bolster the install base to allow us to take on more. CECO China now is in the $50 million to $55 million revenue range which is pretty exciting. So we’re delivering on our promise to build out China. I could remember a few years ago China represented about $10 million of revenue for CECO. We successfully completed four strategic smart acquisitions, two were very small in the $5 million to $10 million range and two were what I call in the midsize $30 million to $40 million. And also with the Emtrol-Buell-FKI merger we created a clear cyclone leader for engineered cyclone technology. The Emtrol-Buell-FKI now becomes the go standard for engineered cyclone technology and we are very excited about that. We established a leadership position in our large natural gas power business led by the Aarding-Effox organization and we finished the year pro forma of $327 million of revenue roughly 47 million to 48 million in platform EBITDA to help us grow our business further. Page 8, business conditions and outlook are pretty much similar to where they were a quarter ago. Activity is strong, quotation activity or sales dashboards are full. We are trying to apply our sales excellence techniques to capture more business, close more orders, it’s a priority for the company. We initiated the sales excellence training initiative to help us get better and stronger. The APC Group is trending positively with the Q4 bookings and revenues. We still need to do a better job in our contract services, in our parts business. They didn’t do as well in 2014 as we expected but I am seeing a slight improvement in some of those businesses and we are very focused on that. The global energy business is really strong right now. We booked a lot of business in the first couple of months. Domestically the power business, domestic traditional fluid handling and domestic platform business, solid fluids is flat to slightly declining right now. So, the Effox traditional utility business is developing sales and infrastructure in India, Asia, Korea. So we are doing a little bit better to make up for some of the flatness domestically. Fluid handling and filtration is on track. We have added resources there. We have a very good management team there so we are very excited about that business in 2015. The Asian markets are solid across the Board. The team is doing very well. We are a larger business now, we have an excellent sales management team there and a leadership team there. So, we are really expecting nice performance and nice growth out of China this year for CECO. Brent Becker has done a really nice job transforming that business and so it is a big part of our growth strategy. Again we are ending the year around $327 million mark and 47 million in EBITDA so we are very excited about growing our business in 2015 and 2016 and continuing that trend. Page 9, we continue to want to grow our EBITDA -- we got a nice baseline number of EBITDA now of $48 million and a year or two ago it was around that $28 million range. So we are very excited about the opportunity to do that. Organic growth remains a continued focus. We got to do a better job in that area around sales excellence. Again, we want to leverage our China footprint. We will continue to resource and pool in a lot more natural gas power generation business. We are about half way through the integration of Zhongli and Emtrol and those businesses are tracking well. We need to do a much better job growing our Cyclone business given the investment in the Emtrol-Buell-FKI efforts in next step progressing very well. Growing the aftermarket business and one of the things we have promised about a year and half ago is to do a bolt-on acquisition with our fluid handling business and we have done a lot of work around those areas. We have some in the pipeline, we need to do a better job finding a nice, smart, bolt-on acquisition for that business which is one of our higher margin businesses. But in a nutshell we are continuing to furthering our strategy from 2014. Page 10, we showed this slide in Q3 regarding Emtrol and Buell which are progressing very well. These are businesses we worked on for three or four years to acquire. They are a very good fit. The purpose for revisiting this slide is to let you know the integration is going well. However, these businesses bring a lower gross profit profile for CECO. We also have a lower SG&A model so the operating margin opportunity and upside is still very good. But at the same time, we are going to have to reshape our profile on the gross profit for the first half of 2015 and that will be more reflective of what took place in Q4. So we wanted to mention that. We also want to mention that these were very strategic and purposeful acquisitions to expand the CECO portfolio domestically and globally. Page 11, just pretty much shows our trajectory on revenues from 2012, 2013, and 2014. We ended up 2013, 197 million. We ended up 2014 with the legacy business of 262 million plus the recent acquisitions were now at 327 million area -- 328 million of revenue. Scale is important to build out our footprint and our aspirations. We have a larger platform now and a larger installed base and this is kind of how we are looking at going into 2015. Page 12 please, building the platform to grow we now have a larger business for future earnings power which is exciting. We ended the year around 39 million of EBITDA. Again, if we add on the acquired businesses in 2014 that puts us in 47 million to 48 million of EBITDA which is pretty exciting. We do want a larger business for scale, for a larger installed basis, expanding our technology across the globe which gives us some more diverse and then helps us perform better through various economic cycles. So there -- a lot of this was strategic, lot of this is to build a larger installed base so that we can harvest more recurring revenue. And also to expand our technology so we are very excited about finishing up the year in that 47 million to 48 million of EBITDA and very excited about 2015 and 2016 to keep expanding that. Page 13, this quarter we wanted the share some internal CECO metrics that we look at with our CECO balance score card on a monthly and quarterly basis. Some of these you may track, some of these you may not but we did show a nice uptick in our return on total assets from 13 to 14 of 300 basis points. The team has done a very nice job brining down working capital. For the past few years we ended full year 2014 around 19% of revenue and working capital to drive cash more cash flow and shareholder value. Net debt to equity was about 0.55, net debt to EBITDA was on a lower side it was 2.0. And we measure free cash flow and free cash flow conversion, I know some of you may not measure that free cash flow conversion but it’s a point of interest for us. And throughout 2015 we are going to provide some more metrics around ROIC given the investments and acquisitions so there is more visibility on the ROIC front and Ed will share a little bit of this with you some of his slides. So thank you. I’ll turn it over to Ed.
Edward J. Prajzner: Thank you Jeff and good morning everyone. Turning your attention to slide 15 at this time, again this slide is our sequential trends of booking and backlog throughout the year. Again and I’ll move on to the segment piece here and just reiterate the consolidated pieces fairly quickly here. But as Jeff mentioned we hit a record backlog into the year of 140 million. Bookings were slower sequentially in Q4 versus Q3 but please recall we had the $20 million order booked in Q2, two large energy projects. Second half bookings in 2014 were stronger than first half of 2014 so we’ve taken -- and that momentum has continued into the early part of 2015 as well on the bookings. Moving on to slide 16, again here you just see the consolidated revenue trend. Again Jeff mentioned the quarter 76.1 million record revenue for the quarter and as Jeff mentioned 13 million of this came from acquisitions completed during 2014. Legacy revenue was little weak in Q4 as Jeff mentioned, primarily it was the typical seasonality in Q4 that was not evident this year as it had been in some past years. Continuing on to slide 17, this is a sequential comparisons of non-GAAP gross margin and non-GAAP operating margin. As Jeff explained in detail we’ve seen some margin decline in Q4 sequentially and year-over-year attributable to next legacy business with them and as he mentioned the two large energy projects were below the consolidated average margins. And we did have a disproportionately higher piece of revenue coming from the newer acquisitions in Q4 which again carry a lower than corporate average gross margin profile. But again also note that is pre synergy as well of course. Continuing on to slide 18 is the final consolidated slide. Here again you have adjusted EBITDA as well as non-GAAP EPS sequentially over the period. Again as Jeff mentioned we were disappointed with missing our aspiration of $1 per diluted share non-GAAP basis. Nevertheless SG&A is up for the year and SG&A is holding very firmly at below 20%, actually below 19% and we intend to maintain that profile as with our aspiration going forward. Now moving on to the segment discussion beginning on page 19, beginning with the air pollution control segment. Again as Jeff mentioned APC had a very solid Q4 in terms of both bookings and revenue, both are very significant sequentially. Again end market is growing very strong for APC. They’ve been adding sales talent, our pipeline is very full. They finished the year with backlog, very strong so we are very optimistic with the FDAPC [ph] businesses and fundamentally a very good spot going into 2015. Had a very solid 2014 end of the year. Moving onto the energy segment on page 20, again as Jeff said energy had a very solid Q4. Revenue up over 20 million. There is record bookings year, 50 million for the full year. Again Q3 is where we booked the two large energy projects before working down now through the P&L, so there is sequential, there was a sequential difference in bookings Q4 to Q3. But again demand is very strong in the natural gas power market, very solid quotation activity is up strong globally. It is North America, it is Middle East, its Asia, very, very strong market for the energy power generation market. And finally moving on to the fluid handling and filtration segment on page 21, again this is our relative highest margin growth business. Small dip sequentially in bookings and revenue, but fundamentally solid business, improved margins this year, very quick churn, book ship business. They are also focusing on sales resources and it also being expanding our product line into China in 2014 and going into 2015. So fundamentally very solid business and we are very excited about fluid handling and filtration going forward. Moving onto slide 22, on the balance sheet and cash flows. Jeff did mention some of this on the new metric slide that we have introduced which we will expand going forward. But we are maintaining our strong balance sheet keeping prudent leverage intense. Intense focus on working capital and free cash flows and as Jeff also mentioned, the dividend has been increased. Our Board of Directors showing confidence in CECO going forward did increase the dividend 10%, the quarterly dividend at 10%. Again as a result of their confidence in our prudent balance sheet and growth prospects going forward. With that, that ends the prepared presentation. At this time we will turn it back over to the operator to take your questions.
Operator: Thank you. [Operator Instructions]. We will take our first question from Sean Hannan with Needham and Company.
Sean Hannan: Yes, thanks. Good morning and thanks for taking my question here.
Jeffrey Lang: Hey, good morning Sean, how are you?
Sean Hannan: Good, good. The first question I have here is on margins. Now you folks have traditionally done a pretty good job in improving the acquired company's margins in the past. So just trying to get a better sense of how long we think that this should take based on the recent acquisitions you talked about today in getting back to a corporate profile target, or is there anything that could be overhanging here that would prevent you from being able to reach that type of an aspiration? Thanks.
Jeffrey Lang: Hey, thanks Sean. We have been talking about that for quite a while and also thanks for mentioning, we have -- we have not forgotten how to drive operational excellence and margin expansion. That is what we do, so thanks. And that is part of our D&A. Having said that, Emtrol and Zhongli and then our large natural gas energy turbine business is a very good business and it represents $90 million a year and if we keep growing it is a 100 million and 110 million. So, we have a nice piece of business that is below our corporate average margin expectation. However, we feel the first half of the year we are going to have to digest some of that and it will probably reflect the first half of 2015 or probably reflect more like Q4 of 2014. So if I can give you that benchmark. And then we are thinking the second half, we will see some nice uptick, that is kind of how we are thinking about it. And then but our long-term aspirations of being a great industrial technology business and 15% through 16% we are not losing sight of that. That will be more the long-term view.
Sean Hannan: Okay, that is very helpful. And then in terms of core activity Jeff that you commented on, it sounds like you are pretty optimistic there, it seems like you are feeling it is fairly strong and that your team is flat out. Also conditions seeming the same as you entered fourth quarter but at the same time you had some pull in, in the fourth quarter organically and bookings were a little bit soft so I am just trying to reconcile this and is there a way to detail a little bit more of how we should interpret that whether there perhaps had been any order push outs, are there any delayed signings of contracts perhaps that had spiked, a little bit more detail around this would be helpful thanks?
Jeffrey Lang: Yes, good question. We talk about that a lot. Our quotation activity is very, very solid. It is probably equal to Q4, maybe slightly up. Asia is strong, the domestic downstream activity in refineries and petrochemical is strong given the low oil prices, so that’s driving activity for us. The global and domestic natural gas turbine power business is strong, domestic utility business is flat. We are on high alert to pull in more business with our sales excellence training initiatives that we have going on. And then our Q1 bookings trend is better than Q4. So if we look at quarter to date right now it is tracking better than Q4 and Q3 of last year. So that’s kind of how I would look at that. The second part of your question Sean in Q4 there were some revenue we didn’t pull in, contract services is probably 1 million or 2 million light. They had a couple of push outs. The products group which is performing better I think there is a million dollars amiss there in the last 3 or 4 or 5 months so that impacted Q4. China was a little light in revenue gross profit in Q4. Nothing is foundational. They are on track but we expected more in China and Emtrol-Buell is performing well. FKI underperformed in Q1 and then the fluid handling filtration business which had a very good year, they are probably at 1.5 million light in Q4. So I hope that the booking side is on track, the activity is solid. We had a couple of things we didn’t pull in Q4 so hope that helps you.
Sean Hannan: That does. It sounds like your aspirations for fourth quarter revenues were a good bit higher?
Jeffrey Lang: Correct.
Sean Hannan: Okay, last question here and then I’ll jump back in the queue I think some of this relates to the bookings, when you look then at your total backlog, when we pull out the acquisitions we are actually down 8% year-over-year. So if the organic bookings aren’t keeping pace is there anything special that we have within the acquisitions where the rate of their bookings perhaps were consistently in a growth trajectory, so we don’t end up in path say a few months out where total backlog then starts moving against us and start coming down year-over-year. Is there any detail you can provide around that?
Jeffrey Lang: I don’t think that’s going to take place. I think our bookings and Rev are going to do better this year than last year. And I think the acquisition of Emtrol and Zhongli is going to be very solid. We’re two and half months into it but everything we see is pretty solid and I think the Emtrol-Buell combination has actually generated some nice bookings in the last 60 days. And Zhongli is on track. It’s a journey converting a very nice privately held China company to CECO China but that’s on track. I think the big focus is, I think the 2015, 2016 outlook is similar. I think we are going to probably have to reshape the gross profit profile of how you look at CECO for the next 12 to 24 months would be my take away.
Edward J. Prajzner: Keep in mind Sean as well, the fluid handling filtration business carries very little backlog. That’s much more of a book shift business so, backlog is entirely an indicator of the business. We stayed within -- we try to stay north of a 1 book to bill ratio. It floats though any given quarter, it has dipped down to 0.8 up to 1.2. It can vary there. So backlog isn’t a pure indicator of that forward look and again we do track it daily and try to keep it at the one over better ratio. But it does flip but keep in mind a big piece of business now really is not appreciable addressed in the backlog because it moves much quicker than that, book ship basis so it’s only of limited flexibility for that forward look as a backlog that means.
Sean Hannan: Sure, that’s helpful color. Thanks folks.
Jeffrey Lang: Thanks Sean.
Operator: We’ll take our next question from Tim Mulrooney with William Blair.
Tim Mulrooney: Good morning gentlemen
Jeffrey Lang: Hey, good morning Tim. How are you?
Tim Mulrooney: I am good, just a couple of questions here. First of all on gross margin in the fourth quarter, I know you have talked a lot about it already, but can you kind of rank order the items that impacted your gross margin, for example how much did these large energy projects negatively impact your gross margin relative to your recently acquired businesses?
Jeffrey Lang: I would say, I mean we could try a little more color but I would say there is three rocks on the road to your question; one, we probably had 6 million, 7 million, 8 million, 9 million of less organic revenue which impacted that at a legacy CECO gross profit mix. Number two, we were processing some very large energy projects at a lower gross profit well below our average and that's -- that will continue for the next six months on a couple of large projects. But these were strategic, resume contracts that since we have booked those orders we had probably booked an additional five or six nice orders as a result of that. So, very strategic, very deliberate. These were not -- these were expected Tim. And thirdly, the Emtrol, Zhongli represented 10 million to 12 million of revenue in the quarter at a lower gross profit. So, those are the three pieces that went into the Q4 mix and gross profit answer.
Tim Mulrooney: Okay, thank you Jeff. And then on organic growth, our model says organic growth was flat or maybe down just slightly in 2014. Just stepping back and looking at the big picture here, what were the main items that maybe felt short relative to your expectations in 2014 and can you talk about what your expectation is for organic growth in 2015?
Jeffrey Lang: Yes, thanks Tim. You are right, we are not satisfied with our organic growth. The management team, the General Manager, the Sales Managers were not satisfied. However, there were quite a few of the businesses that performed very well last year. There is a handful that underperformed. Contract services was probably a little bit light last year. Our parts group which we have counted on for years and years to deliver high revenue and high gross margin had a tough -- had a challenging year. Some new competitive landscape gave us a hard time for a little while there. But we are back on track. The Fisher Klosterman domestic industrial gas cyclone business underperformed and these are very good businesses that we think a lot of. So, they need to do a better job in their sales excellence, in their marketing excellence, and fluid handling filtration business which really had a very good year with integration, plant consolidation, and margin expansion to a world class level, revenues were flat. So, that business needs to kind of reinvent itself with sales and marketing excellence, additional distribution. We have added regional sales management to that business and so we are thinking we are going to see better organic growth. But there is a few things that caused some of that lack of organic growth. And we are not pleased with that. We are not satisfied with that and the team knows that. So, we got to fix that. But you and Brad know our business quite well. I am sorry, you and Brian know our business quite well. So, we want to at least above average market growth. We are trying to kind of govern our outlook but we have always said we want organic growth and we want inorganic growth year-over-year to be a great company. So, you kind of know those numbers.
Tim Mulrooney: Yes, thank you for all that great detail and good luck this year.
Jeffrey Lang: Thank you very much.
Operator: We will take our next question from [indiscernible] at Jefferies.
Unidentified Analyst: Hey, good morning guys. How are you?
Jeffrey Lang: Good morning.
Edward J. Prajzner: Good morning.
Unidentified Analyst: Just wanted to speak about the aftermarket business, you guys have been saying that you need to grow that business through your market portion of the overall revenue. If you can give us some color on how did that business actually work for 2014 as a percentage of total revenue and how we can think about going into 2015 on that business?
Jeffrey Lang: Yeah, thank you for that question. We talk about all the time on our management business reviews. All the General Managers and Sales Managers are very focused on that. I think we had a pretty solid year with margin and some nice uptick. They are probably not what we needed. The air pollution and control business did little bit better in I think Flex-Kleen and Duall and some of those businesses did very well at aftermarket. I think the KB Duct business was kind of did not meet our aspirations last year and the contract service is the same. So we got to do a better job on the growth side of that. The fluid handling and filtration business did very well with aftermarket. Their just one business alone is trying to reach a million dollars a month and after market at 50% gross profit. So that’s just a little sliver of what one division looks for. We do have added numerous after market champions in most of the divisions. It’s a very important metric for us that we grow our aftermarket business at a better rate. We did a pretty good job last year but we didn’t meet our aspirations in terms of total growth.
Unidentified Analyst: Okay and the next question a follow on for Ed, during your commentary you mentioned the gross margin, the SG&A rate which you mentioned that you will be able to maintain at the current level of 18, I don’t know what confidence -- what are the points which gives you more confidence to maintain that 80% SG&A rate going forward?
Jeffrey Lang: What confidence -- we’ve got asset levels throughout the year again with revenue dipping up and down throughout the quarter of 2014. We’ve drifted above that number in one of the quarters but that’s a full run rate now. We’ve got G&A locked down at this point in terms of expense control. We’re willing to invest on the sale side obviously to grow the S part of SG&A but we’ve maintained that in that level throughout 2014 and we believe we have the footprint built here to absorbing grow with the acquisitions completed at the end of 2014. So that is at a fairly loaded run rate at the current time in Q4 of 2014 and expect to maintain that level going into 2015.
Unidentified Analyst: Okay and the last on the M&A pipeline if you can give us some color on M&A pipeline going into 2015, which segments are you looking into and where the opportunities are globally as well as domestically?
Jeffrey Lang: Yes, thank you. No, Ed and I and the Board study M&A quite diligently. Number one, we have two mid size acquisition Zhongli and Emtrol that are about 50% through the integration process that are tracking very well and the CECO management team does a good job with that. So I am very pleased with how that accelerates. Having said that we certainly have -- we would like to acquire a fluid handling and filtration business to bolster our fluid handling filtration sector. So those type of profiles would be in our M&A queue and I would say that would be a priority for the first half of the year but those don’t come around too often. We looked at five or six fluid handling filtration companies and we haven’t quite found the one we wanted. And we have a very inquisitive organization if there is other accretive opportunities that would help bolster our portfolio and our global footprint and help our reoccurring revenue we would look into those but that would be my comment on that right now.
Unidentified Analyst: Okay, that’s all I have. Thank you very much.
Jeffrey Lang: Yes, thank you.
Operator: We’ll go next to Larry Schnermocker [ph] with Morgan Stanley.
Unidentified Analyst: Hi, guys. Just a question on order announcements, what’s the corporate policy on announcing orders trend [ph] and are you guys seeing any fallout from the drop in oil prices, the energy companies cutting back on CAPEX, stuff like that? Thanks.
Jeffrey Lang: Hey, good morning Larry. No actually we do not participate in the upstream and midstream aspect of the energy sector. However, we do quite a bit in the downstream refinery petrochemical. That’s a core market for us that we’ve been in for decades and those industries are doing quite well with the lower feedstock of net gas and lower oil prices. We are very busy right now on the downstream side of our equation. Regarding announcing orders, we are doing less and less of that. But typically when we have received significant amounts of large orders over two or three months period, large above average size orders, we would like to send a note out just to communicate that. That’s kind of roughly how we look at that. And we are doing less and less of that but we have done less and less of that over the past year.
Unidentified Analyst: Great, thanks.
Jeffrey Lang: Yes.
Operator: We will go next to Jeff Osborne with Cowen and Company.
Jeffrey Osborne: Great, good morning. I just had a couple of quick questions. One, on the you mentioned Jeff the seasonality impact of the fourth quarter, you went through the different end markets and product lines that fell $1 million or $2 million short but can you just touch on which -- what normal seasonality is in the fourth quarter and in particular which segment that you thought that would benefit that didn’t come through?
Jeffrey Lang: Yes, hey good morning. Jeff, normally we see a pop in Q4. I will just say that, normally domestically we see a nice pop in Q4 with three or four of our businesses, turnarounds end of the year projects, CAPEX conclusions within plants, and it's usually been a very nice uptick for us. And at least in most of the industrial businesses I worked with in the past five years here and we didn’t see that this year.
Jeffrey Osborne: Any sense on why did last market share or just constraint in CAPEX budget financing availability?
Jeffrey Lang: I just think customers have been seeing that end of the year CAPEX close out. Actually we had a couple of customers push things out 30 to 60 days. And I don’t think there was one specific reason for that Jeff but lots of small things. We’re delighted that we expected another $4 million, $5 million, $6 million, $7 million of revenue, but not one glaring foundational answer.
Jeffrey Osborne: Okay, that’s helpful. One is another question I just wanted to better understand is that the quotation activity you been following up on a previous question I think Sean, you’d been highlighting the quotation activities been robust for several quarters now. Yet the organic growth hasn’t been coming through. I am just trying to get a sense of is there delayed closings or potential market share losses again sort of the similar question line to the seasonality is just maybe the funnel itself needs to be reassessed on how you are feeding things in and what the conversion is, or how you handicap those?
Jeffrey Lang: Yes, now that’s a good question and we do that. We do that through our sales excellent process. The second half of bookings were better than the first half, so that was a positive. We picked up about 134 million of bookings in the second half which was significantly up versus the first half. So that’s a good indicator. I think a lot of the natural gas business has closed quite nicely as planned. I think it was nice to see the air pollution control group collectively drive the one CECO better and better, so that was a nice signal and Q4 that the air pollution control group had a very nice booking. So the last half was better than the first half. And there are some projects that as we assess our funnel and dashboards, that we quote and we track that are still there that haven’t closed, that haven’t closed. So -- and then just to seeing all candidates there has been a couple of competitors this year that probably gave us a little more challenge than they have in the past. One being in the FKI cyclone business and one being in our KB Duct parts business. So they wrestle with some competitors they haven’t in the past. And that caused a little bit lack of organic to your point Jeff.
Jeffrey Osborne: Okay, with the acquisitions closing here right in the year how should we think about the tax rate assumptions for next year just as the geographic mix changes, is there any meaningful impact on the tax assumption for the model?
Jeffrey Lang: No Jeff, should be fairly similar. This was domestic in China acquisition so on average the blend here should be very similar to what you’ve seen for CECO in the past. Again R&D credit aside you’ll be in that low 30 range going forward as we see before get borrowing the R&D credit coming in. So the mix will be about the same because it was global acquisition so blended suturing rate will be very similar going forward.
Jeffrey Osborne: Got you and the last one I had is just on the potential acquisition that you mentioned around fluid handling. How should we think about your ability to lever out the balance sheet and on the small, medium, large spectrum that you highlighted before doing two small and two mediums, what types of size would fluid handling be and again how would you pay for it?
Jeffrey Lang: Well we have quite a few things in the M&A pipeline. I just want to make that broad statement. We are doing a really good job integrating the two midsize ones from Q4. We just -- I mentioned fluid handling because over the past 18 months since the merger of CECO Met-Pro we have said we wanted to bolster our fluid handling filtration business organically and through M&A and we haven’t done that. We haven’t done a bolt-on with the fluid handling and filtration business and we’d like to do that. I just wanted to respond to that and bring a little more color around that. Regarding the balance sheet, I am mean we are at a two times leverage ratio now. We have pretty conservative balance sheet outlook from the Board. But if were the right high margin, high growth rate business money is pretty cheap right now. We would look a little bit on the leverage ratio to do that and we have to see how that would play out. I wouldn’t want to say we go to a 2 to 3, etc. But depending on the target, the EBITDA generation and the growth profile and how all that will come together to drive EPS. So there is a lot of variables that would go into that question Jeff. Q - Jeffrey Osborne Understand. Appreciate all the details. Thanks a lot.
Jeffrey Lang: Yes, you’re welcome.
Operator: [Operator Instructions]. We’ll go back to Sean Hannan with Needham & Company.
Sean Hannan: Yes, hi. Thanks for taking my follow up here. So if I were to look at the growth in China it sounded like you are pretty optimistic there, can you detail for us a little bit more what are you seeing explicitly in terms of the growth of what you may characterize as legacy for CECO, what are you seeing for growth in China related to the acquisitions and to what degree would you say 0that there is any acceleration perhaps within the booking side of the business there, thanks?
Jeffrey Lang: I would look at CECO legacy China roughly if we look at $50 million to $55 million outlook, probably half of that should come to the legacy CECO business and when I say that, that would also incorporate the Emtrol-Buell. So we have the legacy CECO, the Emtrol-Buell-FKI which is a big part of our Asian activity and then we have the Zhongli which is in the $25 million to $30 million business. So if you think of 50 million to 55 million to 60 million over the next couple of years, legacy Emtrol-Buell- and then Zhongli and Zhongli being the bigger piece for in country utility refineries and so forth. So I kind of look at in third and we’re excited about what we are doing in China. We can’t grow fast enough. It has been nice margins for us. It has been a very low tax rate. We are pretty excited about what we have in China and what we are going to do over there in the next few years.
Sean Hannan: Okay and the reason I am asking Jeff is just unclear to me to what degree for the three pieces of the businesses you had just laid them out, the natural rate that they are actually growing. So outside the context of China for you as a geography and its growing and a large part of that is acquisition, I am trying to understand is we kind of break that down, how much of those business is really growing on their own merits and the rate of that thanks?
Jeffrey Lang: Yes, we’ll have to give you some -- probably some data on that but I would CECO China probably had the best organic growth rate of CECO last year. And then the Emtrol-Buell cyclone business would come in second to that. And then Zhongli we just acquired and that’s been a $25 million to $30 million business. I think they have been in the 5% to 10% range, but we’ll have to give you a little more color on that and circle back.
Sean Hannan: Okay, thanks very much for taking the questions.
Jeffrey Lang: Yes, you bet.
Operator: We’ll take our next question from Gerry Sweeney with Roth Capital.
Gerry Sweeney: Good morning Jeff. Good morning Ed.
Jeffrey Lang: Good morning Gerry.
Gerry Sweeney: I wanted to circle back on the organic growth side. I know that there have been a few questions but I mean as you look at organic growth going forward, once you target the sale is excellent and there is still certainly a code that you have to crack against some sort of jack ups. I mean is -- when you’ve looked it is it adding more sales people, is it selling higher into an organization, I think some of these end markets really fragmented so it is more relationship driven than you anticipated harder to get in there. I mean as you are looking at these opportunities do you have to shift your strategy and or maybe give some details to how you can maybe crack that code per say and start driving the organic side?
Jeffrey Lang: Yes, sure. We discussed this quite a bit, given we haven’t met our organic growth aspirations you can imagine we talk about it frequently. I think the first thing we have to make sure is we are developing a better sales excellent training process on a monthly basis for our team to boost productivity, close rate sales technique. We have added additional resources in these businesses so we need to make sure we’re pulling business, we are extracting more business. I would say in my five years with CECO last year we saw a couple two or three more competitive pressures than we’ve seen in the previous five years. So there is a few players given us a little bit harder of a time that probably didn’t help our organic growth piece. So there is a few elements. Then I think Ed want to say something.
Edward J. Prajzner: Let me just clarify one point there Gerry specifically cracking the code as you phrased your question. Well that’s about proving it. As we know CECO has long -- decade long brand names after that I have been trying to and that’s how you really you win your way in. So, we’ll put a piece a demo equipment out there to prove it to them, that’s really what it is. They have empirical data of our product working through decades now, they want to see that. So it’s about showing them, giving a piece of demo equipment. The reason we chased the large energy job was to have a landmark hallmark piece of equipment in the field in that first natural gas turbine build out to show we can do it, we have done it, we did do it. There it is, it’s out there on the field. So that’s really what it is to crack that code, its prove it to me, show it to me that’s how we get sold in door, and that’s where the brand names we have in legacy of what CECO is all about is what reoccurs and offers the optimism we have for the future. And it is simply that. You have to go out and perform and show what our equipment can do and has done globally and that’s a big part of what these acquisitions are. They are right in our backyards, they are tied into what we do as our core competencies. That's cracked the code here, It is simply you have to prove and you show to the customer and we have demonstrated that the equipment does the job, serves it up as to deliver at each time and will for decades going forward with the aftermarket install base we have. That’s the magic and that’s how you crack that code.
Gerry Sweeney: Okay, that’s helpful, I appreciate that. And speaking of those energy projects it sounds like there were lower gross margins, how much of that gross margin on that energy side was at you being aggressive to get those land mark projects and how much of it was maybe larger projects maybe just naturally carry a little bit lower gross margin, is there a permanent shift in that gross margin or was this a onetime general foot in the door get that landmark and prove it -- sort of?
Jeffrey Lang: Yes, good question. The large natural gas energy business is very attractive to us. There was major league OEMS and we really like doing business with them and end users to the power plants. The typical gross profit is pretty solid, it is not quite the high end of CECO environmental gross profit aspiration but it's below that. But a couple of jobs we pull then and I have to give credit to the energy group Aarding-Effox did a very good job pulling in some very nice orders in June, July for CECO. They did a very nice job. A couple, few of them were at a below average gross profit. We knew that going in. We are very excited to capture that business with the end markets and the OEMs but that was not going to be a steady diet of that gross profit level. Since then it’s coming up but we do have six months of those projects that we are optimizing and we are going to be proud of servicing that customer just at a much slower gross profit. Going forward, we expect it to be better than that.
Gerry Sweeney: Okay, that is helpful. Also one last question, you had mentioned maybe you got some competitive pushback, if CECO sort of emerging from maybe a smaller size, little less -- lets say you are becoming bigger, you are gaining the attention of some of your competitors and maybe they are cutting back a little bit more?
Jeffrey Lang: Perhaps, yes, I think a little bit of that. I also think there has been a couple of small and new players trying to crack the code and enter the market that we haven’t seen in the past and they are causing a little bit of heartburn. But we are managing through that and we are going to -- we are figuring that out. But, I can't -- I will have to disclose the facts. We have had some competitive pressures last year that disrupted our organic growth and we are getting through that and we got to do a better job in 2015.
Gerry Sweeney: Okay, I appreciate it guys. I appreciate your answering the questions.
Jeffrey Lang: Thank you Gerry.
Operator: Gentlemen with no other questions in queue I will turn it back to you for closing remarks.
Jeffrey Lang: Thank you very much for joining the CECO Environmental earnings call. We appreciate it. Thank you very much.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's conference.